Operator: Greetings and welcome to the Axos Financial Second Quarter 2026 Earnings Call and Webcast. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, as a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Johnny Lai, Senior Vice President of Corporate Development and Investor Relations. Thank you, Johnny. You may begin.
Johnny Lai: Thanks, Alicia. Good afternoon, everyone and thanks for your interest in Axos Financial, Inc. Joining us today for Axos Financial, Inc. Second Quarter 2026 Financial Results Conference Call are the company's President and Chief Executive Officer, Gregory Garrabrants, and Executive Vice President and Chief Financial Officer, Derrick Walsh. Gregory Garrabrants and Derrick Walsh will provide prepared remarks on the financial and operational results for the quarter ended December 31, 2025, then open up the call for Q&A. Before I begin, I would like to remind listeners that prepared remarks made on this call may contain forward-looking statements that are subject to risks and uncertainties, and that management may make additional forward-looking statements in response to your questions. Please refer to the Safe Harbor statement found in today's earnings press release and in our investor presentation for additional details. The call is being webcast, and there will be an audio replay available in the Investor Relations section of the company's website located at axosfinancial.com for thirty days. Details for this call were provided on the conference call announcement and in today's earnings press release. Before handing the call over to Gregory Garrabrants, I'd like to remind listeners that in addition to the earnings press release, we also issued an earnings supplement and 10-Q for this call. All of these documents can be found on axosfinancial.com. With that, I'd like to turn the call over to Gregory Garrabrants.
Gregory Garrabrants: Thank you, Johnny. Good afternoon, everyone, and thank you for joining us. I'd like to welcome everyone to Axos Financial's conference call for the quarter ended December 31, 2025. Thank you for your interest in Axos Financial. We had an outstanding quarter across a variety of growth, credit, and profitability metrics. We generated $1 billion of net loan growth linked quarter with broad-based growth across several asset-based lending areas, commercial specialty, and equity finance verticals. A 19 basis point linked quarter increase in net interest margin, a linked quarter improvement in our nonperforming assets and net charge-off ratios, and a 23.3% year-over-year increase in earnings per share. We continue to generate high returns as evidenced by the over 17% return on average common equity and the 1.8% return on assets in the three months ended December 31, 2025. Other highlights in the quarter include net interest income was $331.6 million for the three months ended December 31, 2025, increasing by approximately $41 million linked quarter or 14%. Net interest income growth benefited from balanced growth across single-family mortgage warehouse, commercial specialty real estate, equipment finance, and fund finance. We had one FDIC loan prepaid this quarter resulting in approximately $17 million of interest income benefit. Excluding that benefit, net interest income was up $23 million or 8% from fiscal Q1 2026 to fiscal Q2 2026. Net interest margin was 4.94% for the quarter ended December 31, 2025, up 19 basis points from 4.75% in the quarter ended September 30, 2025. Excluding the impact from the early payoff of an FDIC purchased loan and the impact from the Verdant balance sheet securitization, our net interest margin was 4.72% roughly flat from the prior quarter. We continue to maintain our best-in-class net interest margin with or without the benefit of the accretion from loans purchased from the FDIC. Non-interest income increased by approximately $21 million quarter over quarter due to higher banking service fees, broker-dealer fee income, and prepayment penalty fees. This was the first quarter with non-interest income and non-interest expense contributions from Verdant. Non-interest income from Verdant was approximately $18.9 million in the quarter ended December 31, 2025. Total nonaccrual loans to total loans declined 13 basis points linked quarter resulting in our nonaccrual loans to total loan ratio improving from 74 basis points as of September 30, 2025, to 61 basis points as of December 31, 2025. Nonperforming assets declined in single-family mortgage, multifamily, and commercial mortgage and stayed roughly flat in commercial real estate and C&I non-real estate lending categories. Net income was approximately $128.4 million in the quarter ended December 2025, up 22.6% from $104.7 million in the prior year second quarter. Diluted earnings per share was $2.22 for the quarter ended December 31, 2025, compared to $1.80 in the prior quarter, representing a 23.3% year-over-year increase. Total originations for investments excluding single-family warehouse lending were $5.6 billion for the three months ended December 31, 2025, representing an increase of 35% linked quarter nearly 140% annualized. Commercial real estate specialty lending, equipment leasing, asset-based, and single-family warehouse had strong organic originations and net loan growth this quarter. Single-family mortgage ending balances were roughly flat, an improvement from net attrition we experienced over the past three years. Average loan yields from non-purchased loans for the three months ended December 31 were 7.63%, roughly flat from the prior 7.66% in the prior quarter. Average loan yields for purchased loans were 23.32% which included the accretion of our purchase discount. Purchase loan yields for the quarter ended December 31 benefited from one FDIC loan prepayment resulting in approximately $17.1 million purchase discount accretion that we recognized in interest income. The FDIC purchased loans continue to perform and all loans in that portfolio remain current. Ending deposit balances of $23.2 billion were up 44.3% linked quarter and up 16.5% year over year. Demand, market money, money market, and savings accounts representing 96% of total deposits as of December 31 increased by 17% year over year. We have a diverse mix of funding across a variety of business verticals with consumer and small business representing 52% of total deposits, commercial, cash, treasury management, and institutional representing 22%, commercial specialty representing 15%, 5%, and Axos Securities, which is our custody and clearing representing 5%. Average non-interest-bearing deposits were approximately $3.5 billion in the quarter ended December 31, compared to $3 billion in the prior quarter. Client cash sorting deposits ended the quarter around $1.1 billion up modestly from the September. In addition to our excess security deposits on our balance sheet, we had approximately $460 million of deposits off balance sheet at partner banks. We remain focused on adding non-interest-bearing deposits from our custody clearing fiduciary services and commercial cash and treasury management verticals. Our consolidated net interest margin was 4.94% for the quarter ended December 31 compared to 4.75% in the quarter ended September 30. We closed the Verdant acquisition on September 30, adding approximately $430 million of loans and leases and approximately $780 million of on-balance sheet securitizations. While the leases are generally accretive to loan yields, the financing had a three basis point negative impact on our net interest margin in the quarter ended December 31. One FDIC purchased loan paid off in the December. The net impact from the early FDIC purchased loan payoff and the secured financing was a 22 basis point boost to this quarter's net interest margin. Given the payoffs and maturities in our FDIC purchase loans, we expect net interest margin accretion from the FDIC purchase loans to be 10 to 15 basis points going forward. The diversity of our lending channels provides us with the flexibility to maintain strong loan growth and credit performance while managing our best-in-class interest margin. Verdant had a strong quarter as part of Axos, contributing approximately $130 million of net new loans and operating leases in the December. We have already identified several opportunities to deepen our relationships with existing Verdant vendors and dealers as well as accelerate growth in a few existing verticals that were previously constrained by capital and size limitations when Verdant was under private ownership. Demand in our commercial specialty real estate fund finance and lender finance real estate and non-real estate verticals remain strong. We are making steady progress growing our loan pipelines in newer lending verticals such as floor plan and middle market lending. Taking all these factors into consideration, we are confident that we will generate loan growth by low to mid-teens on an annual basis this year. Given the robust loan growth in the December, we entered January with approximately $800 million higher starting loan balances than the average balances from the prior quarter. Also expect to grow loans in the $600 to $800 million range this quarter. This strong organic loan growth is allowing us to offset the lower level of accretion that we expect to receive going forward on the FDIC purchase loan portfolio. As a result of strong prepayments and scheduled maturities, the level of regular accretion we expect going forward per quarter on the signature FDIC loan purchase is approximately $6.5 million. Excluding the one-time gain on the signature prepayment in this quarter, we received approximately $9 million of signature FDIC accretion in the December, resulting in a forward-looking reduction of scheduled accretion of approximately $2.5 million. In essence, we have replaced a significant percentage of our signature loan accretion income with stable core net interest income. Additionally, the March has two fewer days resulting in approximately 2% net interest income reduction as compared with the three other quarters. Finally, we achieved around a 90% downward beta managing the last 50 basis points of rate cut resulting in a potential five to six basis point reduction in our signature adjusted margin in the March relative to the December. Although some of this reduction may be offset by non-renewals of lower margin loans and slightly higher average margin of new originations given the robustness of our loan demand. We had a strong increase in non-interest income as a result of the acquisition of Verdant's operating leases. While we expect that the Verdant loan balance growth is going to be approximately $150 million per quarter, the percentages that are operating leases, which will generate incremental fee and income rather than interest income, fluctuate from quarter to quarter depending on the structure of the individual transactions. The credit quality of our loan book continues to be strong and our historical and current net charge-offs remain low. Total nonperforming assets improved by approximately $19 million linked quarter representing 56 basis points of total assets compared to 64 basis points in the prior quarter ended September 30. Nonperforming assets declined by approximately $9.7 million in multifamily and commercial mortgages and by $11.9 million in single-family mortgage. Total nonaccruals and C&I lending were largely unchanged from the prior quarter. We do not anticipate a material loss from loans currently classified as nonperforming in our single-family, multifamily, or commercial real estate loan portfolios. Net charge-offs to total assets were down seven basis points linked quarter and six basis points year over year to four basis points for the three months ended December 31. We remain well reserved from our current loan levels for credit loss with our allowance for credit loss to nonaccrual loans equal to 215.8% at December 31. Axos Securities, which includes our Correspondent Clearing and RIA custody business had a good quarter. Total assets under custody or administration increased by $43 billion at September 30 to $44.4 billion at December 31. Net new assets for our custody business were nearly $1 billion in the December and $2 billion for the first six months of fiscal 2026. Strong organic asset growth and operational improvements contributed to operating income from the Securities segment improving from $7.8 million in the second quarter to $9.7 million or $7.8 million 2025 to $9.7 million in 2026. We continue to expand the scope and scale of artificial intelligence across the firm to a wide range of businesses and functional units. We are well positioned to use artificial intelligence to increase operating leverage across the enterprise. We are deploying artificial intelligence throughout the software development life cycle. These AI-enabled tools allow us not only to review, document, and update code at a faster pace with fewer resources, but they will also allow our team to take on more projects concurrently without the need to increase the pace of new hires or offshoring. Our commercial lending team has expanded the use utilization of AI in various credit underwriting and portfolio management workflows significantly improving the productivity of manual repetitive tasks. We are enhancing our ability to perform more robust compliance and risk monitoring at reduced costs. We continue to evaluate M&A opportunities to augment growth from existing businesses and team lift-outs. We successfully completed the acquisition of Verdant Commercial Capital, a vendor-based equipment leasing company at the end of the September. Verdant's focus on originating small and mid-ticket leases nationally in six specialty verticals is a great addition to our commercial lending franchise. Strong risk-adjusted returns, history of low credit losses, tech-enabled service model, and the entrepreneurial spirit of the team members are a great strategic fit for Axos. We are making good progress integrating the team's systems and processes. We also spent time with the vertical and functional leaders to identify and prioritize strategic and operational initiatives that will help deepen our relationship with their clients and increase revenue growth and profitability. Over the next six to twelve months, we will more systemically develop cross-sell opportunities for deposits and floor plan lending to a larger set of strategic dealers and OEMs. With a strong start and a solid pipeline, we expect Verdant to achieve EPS accretion at the mid to high end of our initial projection of 2% to 3% accretion in fiscal 2026 and 5% to 6% accretion in fiscal 2027. I'm excited about the opportunities that we have to maintain our positive momentum in fiscal 2026 and beyond. Our strong and growing capital, diverse lending, deposit and fee income capabilities, operational and credit risk management culture, position us well to capitalize on organic and inorganic growth opportunities. As we make additional progress on various technology and process enhancement initiatives, I remain optimistic that we can deliver positive operating leverage while investing in businesses, systems, and people. Now I'll turn the call over to Derrick Walsh, who will provide additional details on our financial results.
Derrick Walsh: Thanks, Gregory. A quick reminder, that in addition to our press release, our 10-Q was filed with the SEC today and is available online through EDGAR or through our website at axosfinancial.com. I will provide some brief comments on a few topics. Please refer to our press release and our SEC filing for additional details. Non-interest expenses were approximately $184.6 million for the three months ended December 31, 2025, compared to $156.3 million in the three months ended September 30, 2025. Verdant added approximately $7.8 million in salaries and benefits expenses and $14.8 million in depreciation and amortization expenses. Separately, we had a $7 million increase in other general and administrative expenses related to an accrual for the Core Clearing acquisition. Excluding the Verdant-related expenses and the one-time accrual, non-interest expenses were roughly flat quarter over quarter. We are committed to keeping our salaries and benefits and professional services expense growth at 30% of our revenue growth or lower on an annual basis. As we mentioned last quarter, we acquired approximately $1 billion of loans and leases and $213 million of fixed asset operating leases in the Verdant acquisition, which closed on September 30, 2025. As of December 31, $702 million remain on as on-balance sheet securitizations. For the quarter ended December 31, 2025, we recorded $24.3 million of interest income from loans and leases and $14.1 million of non-interest income from the operating leases. Turning to the consolidated entity, total non-interest income for the three months ended December 31, 2025, was $53.4 million, an increase of 65% from the $32.3 million in the prior quarter. Aside from the $18.9 million non-interest income from Verdant, we saw growth in both broker-dealer and advisory fee income compared to the quarter. Provisions for credit losses were $25.25 million in the quarter ended December 31, 2025, compared to $17.1173 million in 2026. The primary driver of the quarter-over-quarter increase in provision for credit losses was robust loan growth across our commercial lending categories, which carry a higher provision for each dollar of net loans added compared to single-family and multifamily mortgages. We also added approximately $2.8 million to our provision for unfunded commitments related primarily to our commercial real estate specialty and C&I lending businesses during the quarter. I'll wrap up with our loan pipeline growth outlook. Our loan pipeline remains healthy at approximately $2.2 billion as of January 23, 2026, consisting of $598 million of single-family residential jumbo mortgage, $75 million of single-family gain on sale mortgage, $200 million of multifamily and small balance commercial, $82 million of auto and consumer, and $1.2 billion across commercial. We expect the combination of strong originations from our commercial lending businesses, growing contributions from incubator businesses such as floor plan and middle market lending, and slowing prepayments in our multifamily lending businesses, and the incremental contributions from the Verdant equipment finance business to drive loan growth in the low to mid-teens year over year over the next year. With that, I'll turn the call back over to Johnny Lai.
Johnny Lai: Thanks. Alicia, we're ready to take questions.
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. For participants using speaker equipment, key. One moment please while we poll for questions. Our first question comes from the line of David Bernini with Jefferies. Please proceed.
David Bernini: Hi. Thanks for taking the questions. So I wanted to start with the net interest margin outlook. I think I heard you right that the normalized level was 4.72% and that you expect a six basis point decline, so that would imply 4.66%. Just wanted to confirm that I heard that right. Was the first part. And then could you also talk about how much the average remaining life of the FDIC purchase loans?
Gregory Garrabrants: Yes. So with respect to the first question on net interest margin, that's correct. I do think because we've had so much robust loan demand as I said, that I've been able to kinda push up average spreads a little bit. But I think a good conservative approach would be to assume that you're gonna have that five to six basis point decline in the adjusted margin just based on the robust growth we had. We did well on the deposit side, but we, you know, we did, I think, pretty well on the down beta. But that's, that's where that is. And then with respect to the signature side, it's almost like three or four more years. Right? Correct. Yeah. About three or about three or four more years. You know? So that's, you know, that's six and a half. You know, it's it's it's relatively steady. Right? It's a little more it's it's because of just the way the accounting is. So obviously, we could have you know, either theoretically, you could have a loss in the portfolio, which we haven't had yet, but you could. Or you could have a prepayment, which would then accelerate that, and then we would describe what the what the otherwise then you know, new level of accretion would be per quarter.
David Bernini: Great. Thanks for that. And in terms of, you alluded to potential team lift-outs. Can you talk about a pipeline there and and what you're seeing?
Gregory Garrabrants: Well, you know, I think we've we've done a number of team lift-outs. And in a lot of cases, teams are now adding people where they see opportunities on a more individual basis. So although, you know, we clearly we look for we look at acquisitions. We look at teams. I think we've really done a lot there in the last year, you know, the floor plan team, the tech team, some other geographic teams. And and and so I think we're probably more likely now in the coming quarter to be a little more focused on developing or the coming quarters, a little more focused on developing those teams, adding where necessary. So we've kind of made those investments, wanna see them kind of come to fruition, get a little more mature.
David Bernini: Great. And then last one for me is just on the portfolio acquisition front. Similar question. Is there much of a pipeline there? Or are you seeing many portfolios for sale?
Gregory Garrabrants: On the loan side, we have such robust organic growth through our own channels. And that we'll we'll see we'll see small ones, but I I don't really think that's gonna be a massive part. I haven't really seen a lot of those. And when they are, they come up. They're sort of a bunch of low rate multifamily loans where people are trying to pretend that they're not as marked as they should be or whatever. But you know, there's always interesting deals that we're across the spectrum going on, and we, you know, are always spending our time thinking about those and and making sure we're in a deal flow.
David Bernini: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Kyle Peterson with Needham and Company. Please proceed.
Kyle Peterson: Great. Good afternoon, guys. Thanks for taking the questions. I want to start off on the growth outlook. Great to hear the commentary and good to see the balances in the pipelines both, you know, looking really good. But, you know, in terms of moving forward to kinda support that low to mid-teens, outlook here, should we expect more of the same some of the strength, whether it's series specialty warehouse, leasing, and some of these other things. Is it more of the same, or are there other parts that you you are thinking will become more attractive or or you see additional opportunities in in the next couple quarters here?
Gregory Garrabrants: Yes. I think that, obviously, Crestle was having growth this quarter. We don't expect that we expect it to be a little more balanced next quarter. Fund finance continues to do well. We expect non-real estate lender finance, maybe that little bit better quarter. Floor plan will kick in. Floor plan will start to kick in. Yeah, I think I think it's gonna be pretty balanced, and I think Verdant is they're a bit of a seasonal business. They tend to have a bigger fourth quarter. And first quarter is slower. It's just the way that leasing business is. But I we still expect that they're gonna, you know, be one fifty, 200 growth. Including all their segments. At least that's what their current projection is. So I think it's gonna be pretty balanced. I I feel really good about the balance we have, across the groups now.
Kyle Peterson: Got it. You know, that's really helpful. And then, you know, as a as a follow-up, one to, you know, touch on on fee income. I know there's some pieces moving around. You know, with Verdant. So I think there's some seasonality from, you know, some paper statements and stuff. But I guess stripping out that seasonality from that is is this a good run rate moving forward for for fee income with Verdant in the fold. Obviously, I know there can be some some moving on rates, but in a more stable rate environment would this quarter be a good jumping off point?
Derrick Walsh: Yes. I think that's right, Kyle. I think the we did have the paper statement fee. That was about $1 million this past quarter. So impactful, but not overly impactful by any means. And but as the as the Verdant income, we expect to be generally consistent through that non-interest income line item. And maybe some small growth there as they they grow originations. But it's it's only about 20% or even a little shy of that of their portfolio. So that come through in operating leases and there's there's nuances to that with the accounting and as far as the classification as to what hits operating and what hits the the net interest income line item. But I think you're this is a good jumping off point.
Kyle Peterson: Okay. That's really helpful. Thanks for taking my questions, and nice quarter, guys.
Gregory Garrabrants: Thank you. Thank you.
Operator: Our next question comes from the line of David Feaster with Raymond James. Please proceed.
David Feaster: Hey. Good morning, everybody. Or good afternoon, I guess. Hey, David. How are you? Yeah. Long night for you.
Gregory Garrabrants: I know.
David Feaster: I Greg, I I got a high level one for you. I mean, you guys have more going on than any other bank that I know. I mean, you got a ton of growth engines. You got a lot of irons in the fire. If you will, that you're you're developing, businesses that you're incubating. I'm like, from your standpoint, what are you most excited about today that you're working on that you think could be maybe most impactful to the business?
Gregory Garrabrants: Yeah. It's an interesting question. I mean, I'll dodge it then I'll answer it. I think I think one of the reasons that we have continued to do well as we have for as long as we have is that we do have that balance. And so that balance allows us to have strong growth but not actually have rushed growth in anything. So if you really look at the underlying businesses, any one of those businesses, isn't growing at a a crazy speed usually, but the combination of all of those businesses together end up generating, you know, a reasonable level of growth. So in a lot of respects, a lot of the infrastructure that's necessary for for those businesses. To succeed and to grow and to get operating leverage. You know, really rely on a common data infrastructure you know, common, you know, Salesforce platform that allows us to track going on with our teams and all those kind of things. So there's a balance that's been created intentionally as a result of that diversity. That being said, I think where I'm really excited is that I've always felt like we've had so many better ideas technologically. Than we were able to fund and that a lot of our, you know, fintech competitors because of the nature of how they were able to run money losing operations for such long periods of time. And were measured by clicks or eyeballs when when, you know, we would be measured by oh my gosh, a penny here and a penny there. That right? And and then and then now with what I'm seeing with the with the with the platforms, just with respect to AI and code development, I really do see a bending of that cost curve with respect to our ability to do a lot more development. So the ability to to be able to rapidly respond to customer needs through really staying close to the customer, from a platform perspective and then being able to react in more real time to those needs on the on those platforms. I think, are just gonna be really impactful. And it's not it's I can I can feel and taste it in a way that I haven't been able to just based on what I see the speed of some of the things that we're able to do in the new AI software development life cycle? So I think that's what I what will be the biggest change and the most exciting change because then you know, you really can innovate in in interesting and unique ways, and that's, that's something that really a lot of that innovation has not been limited by our ideas, but it's more been limited by you know, just kind of attempting to balance all the different cost structure factors with the other growth in the businesses.
David Feaster: Okay. That's helpful. Yeah. And I also wanted to touch on on the expansion in Crestle this quarter. Obviously, growth was massive. You alluded to don't run rate this this level of growth this next quarter. I I can you just touch on what changed to drive that? Like, was this just a lot of demand? Did payoffs and paydowns slow? Or did you move upstream a bit and have a few larger deals? I just kinda curious if you could talk about what what drove the strength.
Gregory Garrabrants: There was the the pay down issue was significant, and what had really happened there is we're still you think about these deals as three-year kind of average lives. There was still we had, we had just done some kind of you know, pulling back in certain areas around that time. And so there were some gaps, and you could see it and you could kind of predict the enhanced, prepays. Right? And so you think about those COVID time frames, think about the length of the deals. There was just time frames where we were where we just weren't sure where things were going, and we were more cautious. But then you just ended up having little prepay bulges throughout there. So that's one. And then, you know, sometimes this just happens There were some deals that got pushed in different quarters, and some went early and it ended up being you know, larger than it was. Derrick, if you have anything you wanna mention.
Derrick Walsh: No. I think, yeah, the the repayments that headwind that we had talked about for the last year slowing is basically the the one word answer of repayment. Yeah. Yeah.
David Feaster: That's great. And then, you know, look. When you've got that kind of growth, I mean, funding it is not easy. And so your ability to to to fund loan growth has been really impressive. It looks like it was primarily, you know, within specialty deposits and commercial where you were where you were able to drive a lot of deposit growth. Could you touch on maybe what like, within those segments, where are you seeing the most opportunity and where are having the most success driving driving that growth?
Gregory Garrabrants: Sure. Well, we did have a good deposit growth quarter and we we're a little sensitive about being maybe as aggressive with the rate reductions. That we would normally drive because we've been we've been driving not all too not only to a 100% beta but to an actual neutral NII we were able to achieve that pretty much on every rate decline to date. And we I think we did a pretty good job here on that side too, but I did advise you know, on that. I think that when we look forward, you know, a a seven, 800, even maybe little bit more, you know, growth number, that number feels good for us from what the organic side looks like. And probably comes sixty sixty ish percent from consumer and then you know, the rest of it from the commercial and security side with really balance across a lot of different areas. You know? Everything from HOA and title and escrow and just regular operating deposits and all those things, they're all you know, contributing, and those are continuing to allow us to grow. So, I mean, frankly, dealing with down rate environments, when you're doing, as aggressive deposit repricing as we are. With respect to, you know, prior neutralization of NII ish difference and then 100% plus betas that are associated with that. That does make growth a little harder but I think, you know, having a little bit of stability there even if it's for a few quarters, know, will be helpful. I don't think it's absolutely necessary. We could still handle rate declines, but that'll be helpful. And obviously, growth this quarter was above what we expect to achieve. We given numbers that it's going to be half that roughly or something or around that. So that obviously, is much more in line with what our our organic capabilities are on the on the funding side.
David Feaster: Okay. That's helpful. Thanks, everybody. Great quarter.
Gregory Garrabrants: Thank you. Thanks, David. Thank you, Dave.
Operator: Thank you. Our next question comes from the line of Gary Tenner with D. A. Davidson. Please proceed with your question.
Gary Tenner: Thanks. Good afternoon. Just wanted to ask a follow-up on the Verdant impact on the fees and expenses. It sounds like the addition on the fee side, was there a greater percentage of their existing assets over Class as operating leases than maybe expected? That that drove that larger fee component this quarter?
Derrick Walsh: I don't think so. I think we had referenced we had the $200 million a little over $200 that we classified as operating leases last quarter. I think the if if reflecting back what we might have done was given a net kind of impact of the impact between the depreciation and the fee income. And not the gross impact. And so I probably could've done a better job breaking that gross impact in those line items out for for everyone. So that might be I'm not sure if that's what you're referring to, Gary. Yeah. Yeah. That might be a third. So then as we're I know you gave kind of the the expectation that you're kinda looking to hold expense growth to about 30% of revenue growth. But as we're thinking about the interplay Verdant specifically between the fee and expense side, that pace of depreciation and amortization growth relative to the pace of fee growth what would be is there to be thinking about on how that'll how those move together? Yes. And just to clarify that, the 30% refers to the salaries and related costs and professional services combined. So those two segments of the non-interest expenses. So that's where that doesn't incorporate the depreciation aspect. But the depreciation will be relatively consistent as we look forward here maybe maybe a small amount of growth just from new assets that are originated and that that will align generally with increases as well on the fee income side. But that the run rate of that depreciation line item, this is kind of that new run rate for it.
Gary Tenner: Got it. And and then one other expense question, Derrick. You mentioned a $7 million increase to G and A. What was that related to? I missed the comment there. That was related to the we'd have subordinated loans that we made a claim on back to the clearing matter about seven years ago, and our claim on that was denied And so that's where the the additional seven is is our estimate of of expense that we expect to incur as a relation to that. And that's a one-time item that was, you know, related back to that issue we had all those years ago.
Gary Tenner: Okay. Sorry. I appreciate the color there. And then Gregory, just in terms of the Qualia partnership that you announced a short while ago, either kinda characterize the opportunity that you see through that partnership.
Gregory Garrabrants: Yeah. I think it's significant. They've been a really great partner We've been exploring just different ways to work together. They're a very innovative financial technology company. And so they they obviously are a leader in the escrow space. Which helps us And they they have a financial technology and that's utilized by a significant part of the industry. And so we have a couple of territories that are exclusive right now to that. And I couldn't get too much into that. But you know, I think it'll, it'll be helpful on the deposit side, and that's an interesting specialty deposit vertical. And they're quite an innovative company. And got some ideas of stuff to do with them.
Gary Tenner: Appreciate it. Thank you.
Gregory Garrabrants: Yeah. Thank you.
Operator: Our next question comes from the line of Kelly Motta with KBW. Please proceed.
Kelly Motta: Hi. Good afternoon. Thanks for the question. Maybe circling back to the loan growth guidance I appreciate that this is particularly strong and to not run rate this Crestle. Strength. But with your low low mid-teens guidance reiterated, I just I just wanted to clarify that I think that was supposed to be for the the balance of the year ex Verdant, you know, off of this very high level of growth. In your second quarter. Just does your guidance imply a slowdown in the second half? Seems like pipelines are strong. So just trying to square that thing out.
Gregory Garrabrants: No. That's you know, I understand where you're going with that. I mean, I think we we also said, just try to be a little more clarity. You know, we think it's around $608,100 this quarter. Could it be a little higher? Yeah. I think I think lower is unlikely. But that would be not a bad you know, number range. And I, you know, I don't really think we'd think that's gonna change in the next quarter after that. But you know, it's always hard to have visibility out that far, but I mean, I think we feel pretty good about that. And that does include Verdant. And it also includes me being able to be a little bit tougher on lower rate deals, which is you know, a potential, but I think it's a difficult upside to quantify and maybe one that doesn't materialize with respect to margin. So I wouldn't put it in the numbers, but it's potentially there. Because, frankly, I mean, this is more about where we want to grow from a capital perspective, where we want to grow from a liquidity perspective. And so all that comes together, and I think you know, that 800 ish, you know, kind of range, a little lower. Or more. You know, around where we think we can be.
Kelly Motta: Got it. That's that's really helpful. Thank you for the clarity. It seems like Verdant has been a a really nice home run. With with those folks producing really well. And and you you touched on some of the synergies you expect from there. I mean, would would you expect their their pace of growth to kinda continue at the strength that's been been here? Just maybe talking a bit more about if the flexibilities or balance sheet is enabled them to, you know, be more active or if there's kind of a a culture of that pipeline? Thanks.
Gregory Garrabrants: Yes. Thank you, Kelly. Yes. Well, I do believe that for some of their clients, really great clients they have. Mean, there's some big corporations and folks that have really great credit profiles, big municipalities, things like that. They were very limited with respect to their ability to serve those clients at the capacity that they have the capability of doing. And so we do add that. There it is a little bit of a cyclical business just from a standpoint of the fourth quarter tends to be a little heavier. And, you know, in general, I think that sentiment is right. You know? The the teams are are getting along extremely well. They're a good cultural fit. I think they see the benefit of being here and integrating with the team. Not only are they getting you know, more tech support and help, but you know, they were able to become immediately profitable based on the refinancing of of their sub subordinated debt and of of their lines of credit, which were, you know, from JPMorgan, other big banks. So and to get deposit funding is obviously really helpful. So yeah, and then I think also I mean, frankly, I did not expect this. They've been enthusiastically selling deposits and that's actually been working, which I'm kinda surprised by, which is cool. I, you know, thought that but, you know, you know, that I I think they're not only going full bore first, but it helps to add it to the comp plan, I guess. And then, and then, yeah, then, I think that, obviously, the floor plan business, they've introduced some floor plan transactions because mean, they've got a lot of salespeople out there talking to a lot of dealers, and those dealers also have floor plan needs. So that's really beginning. We've got a couple of referrals there, but I do think that that ability to think about that technologically over time can result in some interesting synergies because, obviously, they're part of the same ecosystem on a supply chain side with you know, what's being housed on a floor plan line is eventually sold to a client that could be financed through Verdant. So I think that's an interesting you know, exactly how that works and how we bring that together, we're working through, but but it is I think it's a it's a there are a couple of cool synergistic businesses there.
Kelly Motta: Got it. Thanks for the color. I'll step back.
Gregory Garrabrants: Yeah. Thank you, Kelly. Thank you.
Operator: There are no further questions at this time. I'd like to pass the call back over to management for any closing remarks.
Johnny Lai: Great. Thanks for everyone's interest, and we will see you at the upcoming conferences. Take care.
Gregory Garrabrants: Thanks, everybody.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.